Operator: Good morning. Welcome to the Flotek Industries Inc. Fourth Quarter and Year End 2014 Earnings Conference Call. All participants will be in a listen-only mode. There will be an opportunity for you to ask questions at the end of the company's prepared remarks. An operator will provide instructions on how to ask your questions at that time. [Operator Instructions] This conference is being recorded. At this time, I would like to turn the conference over to Mr. Rob Schmitz, Vice President and Corporate Controller for Flotek Industries. Mr. Schmitz, you may begin.
Rob Schmitz: Thank you, and good morning. Today's call is being webcast and a replay will be available on Flotek's website. Our earnings and operational update press release, as well as our annual report with the U.S. Securities and Exchange Commission were filed yesterday and distributed last evening and are also available on the Flotek website. Before we begin our formal remarks, I wish to remind everyone participating in this call, listening to a replay or reading a transcript of this call, of the following: some of the comments made during this teleconference may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Act of 1934 and other applicable statutes reflecting Flotek's views about future events and their potential impact on performance. Words such as expects, anticipates, intends, plans, believes, seeks, estimates and similar expressions or variations of such words are intended to identify forward-looking statements, but are not the exclusive means of identifying forward-looking statements on this call. These matters involve risks and uncertainties that could impact operations and the financial results and cause our actual results to differ from such forward-looking statements. These risks are discussed in Flotek's filings with the U.S. Securities and Exchange Commission. Now I would like to introduce Mr. John Chisholm, Flotek's Chairman of the Board, President and Chief Executive Officer.
John Chisholm: Rob, thank you. I would also like to welcome each of you to Flotek's fourth quarter and full year 2014 conference call. We are glad you are here. With me today are Rich Walton, Flotek's Chief Financial Officer; Steve Reeves, our Executive Vice President of Operations; Josh Snively, President of our Florida Chemical Subsidiary as well as our Executive Vice President of Research and Innovation; Chris Edmonds, our Senior Director of Corporate Finance and Strategy; Rob Schmitz, Flotek's Vice President and Corporate Controller, and David McMahon, our Vice President of Production Technologies. Also, joining us today is, Larry Best, President of International Artificial Lift, a Texas-based production technology company. We announced this morning the acquisition of substantially all of the assets of Larry's company as part of our strategy to strategically grow our Production Technologies business with the acquisition of leading-edge niche technologies. As we noted in our press release, we believe Larry's business and his patented hydraulic technology is in a sweet spot of new niche production technologies in a welcome addition to the Flotek family. We will talk more about Larry and IAL shortly. Last evening, we filed our founder annual report with the Securities and Exchange Commission. While we won't take your valuable time to regurgitate those filings, we will provide a summary of the results, attempt to add some color regarding current operations as well as a sense of our future and then be happy to answer your questions. However before doing so, a couple of opening comments, as we noted last night Flotek reported revenue for the year ended December 31, 2014 of $449.2 million, an increase of $78.1 million or 21% compared to the year ended December 31, 2013. That represents record annual revenue for the company and is a direct result of the effort and determination of our team. To provide even greater perspective on our progress, 2014 revenues represent an increase of over 300% compared to revenues of about $112 million in 2009, which equates to nearly 60% average annual revenue growth since we began this journey now five years ago. While revenue growth is important, profitable growth is even more impactful to the value of your investment and we have made profitable growth a consistent goal since 2009. We are very pleased with our 2001 profitability, while annual revenue growth of 21% is admirable; profitability as measured by earnings per share, grew by nearly 45%. One indication that our investment in people and infrastructure is providing positive operating results for our shareholders. While technologies like our patent-pending FracMax software application are important to our growth in both revenue and profitability, Flotek would not be where we are today without a team of dedicated women and men, who are the best in the business, and who collectively are acutely focused on two things: creating better wells and bigger return for our clients and as a result generating greater profits for our shareholders. There is no better measure of the success of our people than efficiency, and we believe Flotek is at or very near the top in just about every measure of personal productivity. During 2014, revenue generation per employee increased by 12%, when compared to 2013 levels and operating income per employee increased by nearly 22%. While I am pleased with our efforts to-date, I am not satisfied, and as I have said before Flotek is not willing to rest comfortably in the past but rather your company will strive to reach for a future where our industry-leading innovation can create more value each and every day for our stakeholders. That said, we are acutely aware of how our world has changed in the past 90 days and how the challenges in front of us are substantial. As such, we are focused on ensuring the appropriate balance between caution and opportunity, making certain that our business is appropriately sized to a more constrained inviolable opportunities set, yet not lacking the resources to seize what we believe will be an abundance of business opportunities as we navigate through the current cyclical turmoil. I remind you that we have long memories and remember vividly, the frenzy, frantic nature of Flotek finances when we began this journey in 2009. At that time, I made it clear that our responsibility as corporate steward was to ensure our level of care would virtually eliminate such fiscal crisis in the future. While we remember 2009 like it was yesterday, we also recognize that the effort of the Flotek team over the past five years allows to enter this period of cyclical regression in the strongest financial position in the history of the company. Our liquidity, cash generation and productivity metrics allow us to look at this decline as an opportunity to show that added value technology can provide industry leadership across the cycle. As I said on each call since I took the helm now five years ago, it continues to be my privilege to serve as President of your company. I remain immensely proud and humble by the commitment and support of members of the Flotek team that believed as a group they could make a difference in the future of Flotek and believed in our vision to restore stability and growth to the company and continue to be enthused that through the efforts of our people that future is filled with opportunities to create value for our stakeholders. With that, I would like to turn the call over to Rich Walton to review our fourth quarter and full-year financial highlights and provide some additional color on certain financial issues. Rich?
Rich Walton: John, thank you. As John mentioned Flotek filed its Form 10-K for the period ended December 31, 2014 with the U.S. Securities and Exchange Commission yesterday afternoon. Flotek reported that revenue for the quarter ended December 31, 2014 was $124.5 million, an increase of 23.5% compared to the fourth quarter of 2013. Revenue increased 6.6% compared to third quarter 2014. For full year 2014, the company reported revenues of $449.2 million, an increase of 21% compared to the full-year 2013. The acceleration in revenue was primarily due to increased sales of the company's Complex nano-Fluid suite of completion chemistries as well as strengthen in downhole technology revenue. Income from operations for the three months ended December 31, 2014 was $23.6 million, an increase of 34.2% compared to the same period of 2013, and an increase of 13.1% compared to third quarter 2014. Income from operations for the year ended December 31, 2014 was $80.9 million, an increase of 37.7% compared to the same period of 2013. Flotek posted net income of $16.3 million for the three months ended December 31, 2014 or $0.29 per share on a fully diluted basis, an increase of 45% compared to earnings per share of $0.20 for the three months ended December 31, 2013. Earnings per share increased 11.5% compared to the third quarter of 2014. For the year ended December 31, 2014, the company reported net income of $53.6 million or $0.97 per share, an increase of 44.8% compared to the year ended December 31, 2013. Earnings before interest, taxes, depreciation and amortization or EBITDA for the three months ended December 31, 2014 was $28.1 million, an increase of 28% compared to three months ended December 31, 2013. EBITDA increased 11.2% compared to the third quarter of 2014. EBITDA for the year ended December 31, 2014 was $98.3 million, an increase of 32.6% compared to the year ended December 31, 2013. SG&A costs as a percentage of revenues declined from 21.1% to 19.9% for the year ended December 31, 2014 as revenues grew faster than SG&A costs. The company recorded an income tax provision of $25.3 million, yielding an effective rate of 32.0% for the year ended December 31, 2014. The change in effective tax rate from 2013 to 2014 was primarily due to changes in state apportionment factors. Outstanding receivables at December 31, 2014 were $78.6 million compared to $65 million as of December 31, 2013. The company's allowance for doubtful accounts was at 1.1% of receivables. Of note during the quarter, Flotek repurchased 621,726 shares of its common stock in the open market at an average price of $16.74 per share for an aggregate total of approximately $10.4 million. This purchase was made pursuant to a $25 million stock repurchase program authorized by the company's Board of Directors in November 2012. The company continued to generate significant cash from operations during the fourth quarter. The power that cash generation is clearly indicated if one looks carefully at the fourth quarter stock repurchase program. While we repurchased $10.4 million of Flotek common shares, we ended the year with a balance on our revolving credit facility of just $8.5 million, a clear sign that we continue to generate significant cash from operations even as the market slows. Overall, we are very pleased with our fourth quarter and full year 2014 financial results. While we recognize that your operating environment has changed meaningfully, even since the end of the year, we continue to believe Flotek is as well positioned as any energy company, not only to weather cyclical pressures and market volatility, but to take advantage of opportunities created as a result of cyclical change. Flotek's balance sheet is as strong as at any time in the company's history and we intend to be very vigilant in protecting our liquidity, rationalizing costs and making certain that we maintain a high level of financial flexibility as the industry searches for the next cyclical inflection point. Thank you. Now, I would like to turn the call over to Steve Reeves to provide color on Flotek's operational performance over the past year. Steve?
Steve Reeves: Rich, thank you. Fourth quarter enterprise wide gross margins equaled 40.9%, an increase from 39.5% in the third quarter 2014. Full year 2014 gross margins were up 40.7%, up from 39.8% for the full year 2013. Energy Chemicals Technology revenue in the fourth quarter was $75.6 million, an increase of 32.9% compared to the same period last year and an increase of 10.9% from the third quarter 2014. Energy Chemical Technology's revenue of $268.8 million for the year ended December 31, 2014, increased 33.8% from a year ago levels, primarily due to the increased sales of stimulation chemical additives, largely the result of the introduction of the company's proprietary, patent-pending FracMax software which statistically demonstrates the positive production and economic impact of using Flotek's CNF chemistries in unconventional well completions. Income from operations for the Energy Chemical Technology segment of $24.2 million increased 20.2% for the three-month ended December 31, 2014 compared to the same period of 2013, and increased 21.4% compared to the third quarter 2014. Income from operations of $84.8 million for the year ended December 31, 2014 increased 29.7% from year ago levels. Unlike many other old field service subsectors, we believe value-added chemistry will perform relatively well even as the cycle regresses. While completion chemistry is not completely insulated from the cycle, we believe continued market penetration combined with international opportunities will at least partially offset what appears to be a North American-centric decline at least in the early stages of cyclical weakness. Moreover, we continue to look for opportunities to grow our chemistry portfolio with sustainable profitable revenue opportunities and broaden our reach in especially energy chemicals. Drilling Technologies revenue for the fourth quarter totaled $31.2 million, an increase of 19.5% relative to the same period in 2014, and increased 4.4% compared to the third quarter 2014. Drilling Technologies revenue of $113.3 million for the year ended December 31, 2014 increased 0.8% from the full year 2013, primarily due to an increase in actuated tool rentals. Drilling Technologies income from operations of $5.9 million for the three-month ended December 31, 2014 increased to 112.8%, as compared to the same period of 2013. Income from operations for the segment increased 7.1%, compared to the third quarter 2014. Quarterly income from operations was largely a result of product mix and improving cost controls. Income from operations of $19 million for the year ended December 31, 2014, increased 3.9% from a year ago levels. While Drilling Technologies is more sensitive to drilling activity and rig count to another Flotek segment and we understand the challenges ahead, we are also encouraged by the acceptance of our Stemulator axial vibration technology that accelerates robust speed in horizontal wells and initial interest in TelePulse, our MWD technology for lateral sections of horizontal wells. In addition, while we are realistic about domestic market growth in this environment, interest in Teledrift, Stemulator and other drilling technologies continues to grow internationally. We continue to grow in both, Middle East and South America, including new work in Northern Iraq as well as upcoming work in Oman and additional work in Argentina. Again, we won't kid ourselves, this market will create unique challenges for drilling technologies in terms of both, activity and pricing. That said, our team is eager to maximize opportunities in market share consolidation and offer new technologies to clients or prospects that provide best-in-class performance. Revenue for the Production Technologies segment for the fourth quarter was $5.9 million, an increase of 107.5% compared to the same period in 2013, and an increase of 19.5% from the third quarter 2014. Revenue for the Production Technologies segment of $16 million year ended December 31, 2014 increased by 8.1% from the prior corresponding period as of sales of Petrovalves and lifting units rose by $4.6 million or 152.9% in 2014. Offsetting those revenue increases was a decrease in equipment sales and related services of 3.5 million or 31.1% in coal-bed methane related business. Production Technologies' income from operations of $1.3 million, increased 280.7% for the three months ended December 31, 2014 compared to the same period in 2013, a decrease of 16.6% compared to the third quarter of 2014. Income from operations of $3.2 million for the year ended December 31, 2014 increased 6.1% from year ago levels. Our Production Technologies business continues to focus its efforts on niche added value technologies like that provided by the acquisition of International Artificial Lift we announced this morning. We believe the next generation hydraulic lift system will create opportunities for Flotek even in a more challenging market. Moreover, continued international sales opportunities combined with new domestic service opportunities as a result of long established relationships create tempered optimisms of this evolving segment of our business. The consumer and industrial chemical technology segment or CICT, was formed in the second quarter of 2013, with the acquisition of Florida Chemical. Segment revenues in the fourth quarter 2014 were $11.7 million, approximately 21.5% lower than a year ago levels and 14.4% lower than third quarter 2014. CICT revenue of $51.1 million for the year ended December 31, 2014, increased 19% from the prior corresponding period as the segment was created in the second quarter of 2013, upon the acquisition of Florida Chemical. Income from operations for the CICT segment of $1.5 million decreased 7.4% for the three months ended December 31, 2014 compared to the same period of 2013 decreased 15.2% compared to third quarter 2014. Income from operations of $6.6 million for the year ended December 31, 2014 increased 4.8% from a year ago levels. While we remain vigilant in our watch to commodity price fluctuations and while such volatility could mean for activity and our commercial operations, we do remain constructive on relative market opportunities and long-term trends that should help our business. Our focus on technology that helps our customers make better world and provide better returns for the shareholders. While tempered by the reality of current activity trends in understanding, we must be aware of further cyclical weakness we look forward to turning those challenges into opportunities as the cycle time just splitting [ph] over time. With that I would like to turn the call back to John Chisholm.
John Chisholm: Steve, thank you very much and thanks for the effort. Before we take questions, I would like to add a few concluding thoughts. As we discussed last quarter, the introduction of FracMax, the company's patent-pending application for comparing the performance of wells using Flotek's advanced next-generation CNF completion chemistries versus those that use conventional surfactants or nothing at all continues to be uniquely successful in fueling interest in Flotek's innovative chemistries. As noted in last night's release, the FracMax data base continues to grow now with data from over 75,000 wells across key U.S. basins, not only the such a large database give us compelling evidence of the impact of CNF on production, it also allows us to estimate the aggregate economic benefit of CNF usage for our clients. Based on data derived from FracMax, we estimate the use of Flotek CNF completion chemistries has added at least $8 billion in aggregate value for operators when compared to those operators that have not adopted CNF chemistry. Also, as a result of FracMax, we know that 234 unique operators have employed CNF in various projects in the U.S. While those are impressive statistics, just as impressive is what FracMax can now show an operator who is considering using CNF. The latest version of this powerful statistical software can demonstrate production per lateral foot and changes in such production over time as well as the predicted productivity of a well based on its location within a basin. Not to mention, an analysis of the efficacy of various province [ph] and other additives with and without the use of CNF completion chemistries. Quite simply, in just its first year FracMax has become the premier analytical tool in determining optimal completion methods. Our ability to run virtually limitless production comparisons through our FracMax Analytics subsidiary is not only helping our clients better understand the compelling benefit of using CNF chemistry in the completion process, but also assisting clients in developing a better understanding of completion best practices, validated through an analysis of data derived from the FracMax database. Most important, FracMax has materially broadened the reach of Flotek's marketing efforts. As a direct result of FracMax, the company has converted approximately 20 exploration companies from validation clients to ongoing commercial users. Currently, the company has an additional 15 to 20 companies in the process of conducting or designing validations. In addition, there are approximately a dozen other unique validations that are in the scheduling process. As such, in total, we are at a record number of validations on the board largely a result of the compelling data contained in our FracMax analytical software. In fact, with the exception of the companies [ph] that have significantly curtailed capital spending due to serious balance sheet constraints, we know of no clients that have completed validations that have not continued to broaden our commercial use of CNF. Let me be clear, contrary to some we chose conjectural [ph] the interest in CNF continues to grow even in this challenged commodity price environment. In addition to the validations discussed above, we continue to have a record number of corporate inquiries regarding our Complex nano-Fluid chemistries and FracMax analysis. As such, the pipeline of new validations continues to be robust. Moreover, the number of wells involved currently in validations is at an all-time record. There are currently 45 wells involved in active ongoing validations in approximately 110 wells scheduled to enter the validation process in the coming weeks. As I indicated, when we conceived this powerful validation tool, FracMax is the most compelling sales and value validation tool I have experienced in my three decades in this industry and we believe operators are finding it hard to ignore their own data, which conclusively validates the economic advantage of using CNF chemistry in completions. As Steve mentioned earlier, we are also making significant progress in international markets, whether it is validating our MicroSolutions chemistry in Saudi Arabia or enjoying technology opportunities in the Middle East and South America, we are constructive on those opportunities as international markets inherently have more muted cyclical reaction than North America. In Oman, the joint venture companies with our partner Gulf Energy are now fully functional and funded, and we have initiated site preparations, including construction of demarcation barriers on the location for our new chemical manufacturing and blending facility. We continue to develop commercial relationships in Oman and elsewhere in the region and believe there are significant opportunities for growth in the coming months. Canada also remains an important market for Flotek. The focused pressure pumping companies north of the border continue to see customized completion chemistry as a performance differentiator in their marketing efforts to end users. We understand that the market dynamics will change in many ways similar to the U.S. and we remain focused on protecting our existing base working to penetrate new markets and working with our clients in these challenging times to develop appropriate pricing models that are mutually beneficial. Additionally, our commitment to constant innovation and continuous improvement is no better demonstrated than our commitment to research and innovation. Recently Flotek unveiled plans for a new 50,000-plus square foot, state-of-the-art global research and innovation facility to maximize client collaboration, which is expected to be completed in early 2026. While we spent a significant amount of time today discussing energy chemistry business, I would be remiss if I did not acknowledge the near frantic level of innovative effort in our drilling technology group. In the last 12 months, we have continued to raise the bar on drilling technologies including, including the introduction of the Stemulator and more recently TelePulse, our horizontal MWD tool. I am pleased to announce this morning that our final validation work with TelePulse was an overwhelming success and we are accepting commercial jobs beginning this week. While new technology adoption in this market environment is more challenging, we are excited to extend the reach of Teledrift and create another unique source technology-driven revenue for Flotek. More important, combining Stemulator and TelePulse with our existing line of Cavo Drilling Motors, we will now be able to bundle an entire line of lateral drilling solutions, which will better meet the needs of the most prolific unconventional producers across basins in the United States. Finally, this morning we announced the acquisition of International Artificial Lift, a development-stage hydraulic lift company based in the Dallas-Fort Worth Metroplex. The company founded and led by Larry Best, an expert develop of hydraulic and electric controls for over four decades provides Flotek with a proven proprietary hydraulic lift system that through its patented and patent-pending designs will allow for more efficient production. Larry's 40-plus years of experience in the aerospace and energy industries brings expertise that has improved the reliability and efficiency for hydraulic pumping units. In combination with David McMahon and his Production Technologies' team, we believe Larry's expertise and unique engineering create a competitive advantage for Flotek in a market that even in the current environment will experience growth and accelerate rapidly as the cycle turns. With that, I would like to introduce Larry. Larry, welcome to the Flotek team.
Larry Best: John, thank you. On behalf of International Artificial Lift and our team, we are delighted to join with Flotek to build what we think will be a very dynamic and successful focus on new and innovative production tech allocation. A little bit about my background, I have spent my entire professional career working with hydraulic and electrical control systems, primarily in the aerospace and energy businesses. In the early 80s, I developed an advanced variable speed drive system for controlling oilfield pump jacks and hydraulic pumping units that extended the life of marginal wells. That controller creates a more efficient system eliminating constant human intervention, which was an unfortunate limitation of existing pumping units. In 1996 and for the next decade, I served as General Manager of Hydradine Hydraulics, where I have designed hydraulic system for large helicopters manufacturing companies like Sikorsky, Boeing and Bell. In 2006, looking for opportunity to return to the oilfield, I started Chaparral Automation to focus on the next generation of hydraulic pumping units for the oilfield. I have developed a Hydra-Lift pumping systems, which was a launch of heavy lift hydraulic pumping units. In 2009, we sold the company to Global Oilfield Services which in turn was purchased by large integrated oilfield services company. After completing my work with Global, I started International Artificial Lift in 2012 to focus on precision pumping and control equipment that was based on new technology, and we developed. At IAL, we developed the Hydra-Lift brand, pumping units that feature our patented innovative hydraulic accumulator, our synchronized dual-well system and next generation control system, which create less energy intensive pumping units with a small environmental footprint and feared none durable parts that reduced capital and overall operating costs. As we are spending time with David, John and Steve, and learning more about the Flotek mission and David's focus on new niche technologies, we couldn't be more happier to join Flotek. We believe that Production Technologies and innovative lift systems, we will more and more important in a world where unconventional production continues to accelerate and we believe that our next-generation designs focused on increasing production and improving operating efficiency will become a standard by which Artificial Lift systems are judged. Again, John, thank you for this opportunity and we truly look forward to working with you in developing our emerging technologies. Thank you.
John Chisholm: Larry, thank you. We are delighted for you and your team to join the Flotek family and we are excited to add your expertise, enthusiasm and pension for innovation our teams as we continue to build an exciting business focused on new niche technologies that have an opportunity to make meaningful improvements in the field of production technologies. While many may think this is a small acquisition, I want to remind you that good things come in small packages at Flotek. It was just over a decade ago that Flotek purchased what would become the CNF technology for about $100,000, and a few thousand shares of Flotek's stock. Today, it is the flagship of Flotek's technology portfolio. Based on our review of the hydraulics market and Larry's technology, we are excited about the potential of this business both, in the next several quarters as well as over the next decade plus. Before we take your questions, I want to say a special thank you to Rob Schmitz, Rich Walton and our accounting and finance teams for continuing to accelerate our reporting timeline. Just as we want to be a leader in oilfield technology, we also want to be a leader in corporate governance and stewardship. As a result of that incredible effort, I believe, we are the first oilfield service company to file our Annual Report with the SEC, something people would have never imagined was possible at the beginning of this journey. While we won't always be perfect, we will strive to hold ourselves to the highest standards in the industry, whether it relates to business opportunities or opportunities to improve accountability and transparency to our shareholders. That said, we understand the challenges in front of us as we face an extraordinary level of certainty in our industry in the coming months. We will leave rig count guestiments and oil price predictions to the pundits. Instead, remaining acutely focused on what we can control, our cost structure and resulting financial position. Our level of service, which we will strive to take to even at higher level, our marketing efforts that focus on how Flotek products and services can make better wells and as a result provide better returns for our clients, crafting creating business structures to create mutually rewarding results for both, Flotek and our clients and remaining true to our goal to maximizing value for our shareholders throughout the economic cycle. Simply, we will strive to be at the top of our market and focus on both, relative and absolute performance. We can do very little about oilfield activity, oil prices or rig counts, but we are confident, we have the best product and provide the best service with the best people. As we focus on our business, I am confident, we can remain at the top of our game and at least on a relative basis outperform the benchmarks our stakeholders watch closely. Regardless of the challenges ahead, when I pledged to you today as I did on my very first call now five years ago is that my team and I will come to work each and every day knowing that you placed your confidence in trusting us as stewards of your capital. We will take that responsibility very seriously and work hard each day to earn that trust. Let me be clear, the success of Flotek is a result of hard work and untiring efforts of a group of people who believe they can shape the future. As a leadership team, it is incumbent on us to communicate our vision, challenges, spirit and ensure our team has the tools to exceed even their wildest expectations. Thank you for your interest in Flotek. I am glad to be here and we look forward to sharing our journey both, challenges and successes with you in the coming months. Operator, we will now open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of George Venturatos from Johnson Rice. Your line is open. Please proceed with your question.
George Venturatos: Hey, good morning guys.
John Chisholm: Hey, George.
George Venturatos: John, I appreciate first of all the update on some of the FracMax information and validation programs, I wanted to first see if you can maybe just help frame up the magnitude of the record levels that we are seeing right now in terms of ongoing and planned programs for, say, the trailing 12-month average roughly kind of pre-FracMax introduction?
John Chisholm: Sure. I think, we have mentioned that conferences, FracMax has shortened its sales cycle from what was several months now to several since several weeks, a month or two, which is a big impact. The level, as we mentioned in the validations, I think if folks look back in the transcripts compared to the middle of the summer, they have increased pretty significantly. The concluded validations that we mentioned, all started at the end of September or October, so those were all initiated right at the end of the third, very beginning of the fourth quarter, so we have not seen and we made point of putting granularity into our prepared comments, a drop-off in the interest of folks regarding validations.
George Venturatos: Okay. Then I believe you guys had mentioned kind of an 80% hit rate in terms of validation programs moving to commercial, even in this type of environment, do you think FracMax can drive that higher given what you are able to show operators today?
John Chisholm: Yes. Actually the hit rate is a little bit higher than that on the ones that we concluded. The only folks out of the validations that occurred in the end of the last year that had not continued, it was because they stopped all activity. It was not because there was an issue with the technology. In fact, one of the operators increased their average well production by 40% and still laid down their rigs. When you give up 80%, your are bidding in areas where that is unprecedented. You are kind of defying gravity, but it really is approaching 90%, where folks continue on after they have seen the validation results.
George Venturatos: Okay. Great. Last one from me and then I will re-queue, but when you look at the operators recently that you have converted, how would you describe these? Were these previously customers that you were unable to penetrate in terms of getting them to accept the technology and FracMax was an integral piece of this or it is just kind of operators that come to the forefront given the marketing effort?
John Chisholm: Every one of those validations that have been concluded and are underway our new clients to complex nano-Fluid and almost who had exception every one of them as a result of seeing the production profiles under the public data with FracMax.
George Venturatos: Okay. Great. Thanks a lot John.
John Chisholm: Thank you, George.
Operator: Our next question comes from the line of [ph]. Your line is now open. Please proceed with your questions.
Unidentified Analyst: Hi. Good morning, guys. I guess, I will take a shot at asking how you see Q1 playing out directionally with the lower custom activity in the North America, and at least sort of what you see as some the major near-term swing factors in the business other than commodity price movement and rig counts and I guess, specifically how has January gone so far?
John Chisholm: Fine question, I am sure it is one on nearly everyone's mind who is on the call. January, every indication will be similar to January 2014. That itself we think is a very interesting benchmark. Folks who follow Flotek know that we are not in the business of giving guidance even when the industry was much more predictable than it is now, but from what we can see in the first quarter, as we mentioned, we expect to outperform the benchmarks that we set internally and also that our stakeholders look at. I think even Martin Craighead for heaven sake, [ph] on their earnings call, so they are having a hard time seeing much beyond six weeks, so when they had their call by 10 days ago. Again, the question is specifically regarding January. It will be at or above 2014.
Unidentified Analyst: Okay. Great. Fair enough. Then I guess looking at sort of the FracMax validations in a different way, have you guys been able to determine what kind of improvement in IRR as some of the E&P customers can get in some of this key basin using CNF products, especially as return rates have been so compressed with oil $50?
John Chisholm: Well, let me give you a statistic into that level of specificity, we would welcome an offline visit with the FracMax Analytical folks. If you look at $48 oil in the Eagle Ford, over the last 18 months if you profile wells that use CNF versus those that don't, the average CNF well will produce $3.5 million more in revenue at $48 a barrel over 18 months to give an appreciation of what the impact is.
Unidentified Analyst: Okay. Great. Let us see just one more from me maybe. Can you talk a little bit about potential gross margin impact or how we could look at sort of decremental gross margins, especially on the North American chemical side if the business were to pull back there a bit?
John Chisholm: Sure. What we will do on that is, again, it is probably a question that we are anticipating from other folks, which is regarding pricing. The way we want to address that is to say that we are looking at pricing on a case-by-case basis both, from a chemistry and downhole technology standpoint and it all depends on whether we are trying to protect market or penetrate the market. I think, what we would like to say is that we have got a lot of flexibility with our balance sheet that we can defer payment with certain clients if that helps from an overall pricing strategy. We also have the ability on the folks that come into our loading dock or the suppliers to Flotek to accelerate payment if that helps us get a better pricing in terms of affecting our raw material, but I think overall a couple of comments. We are entering this period from the highest operating margins in Flotek's history, so we entering it from a position of strength. Do we expect some margin degradation? Yes, but every one of the pricing conversations we have had is tied to a recalibration of the pricing once the commodity price resets itself, not knowing when that is so we have not had an across the board pricing effort, because we are looking at this on a case-by-case basis. At this point, because so much of our business is done through a distributive model, we are just not going to say yet what we think the gross margin impact will be. We will look at this at the end of the first quarter and if we have to adjust, we will adjust. and I think we will go from there. One thing I will say, and then I will pass it onto Steve, most of the folks probably on this call have listened to Schlumberger, Halliburton and Baker, and they all talked about how their technologies, they think will be a difference maker through this cyclical turn. In fact Schlumberger, even went so far as to say that 25% of their revenue is off of premium technology that carries a premium price. For competitive reasons, we are not going to disclose our percentage of what we consider premium revenue, but you can consider it to be meaningful. Like those other companies, we believe that the technology Flotek will certainly help impact the pricing issue that everybody is involved with. Steve, can take couple of other comments on that.
Steve Reeves: I would like to add that while we work with our customers closely and have good relationships, we also from the other side work through our supply chain and we have addressed that from the very beginning of this. We have taking our top supply chain vendors that came to their supplies, they come to us and we have addressed it from the other the end of what they can do with us based on certain volumes, certain payments, we have some of that flexibility as John said and we have been fairly successful with everybody that we have gone to. While we are very cognition at the needs of everybody in this marketplace, we are getting very good support from the other end to help us out, so it is going both ways. We are getting some relief from the supply side.
Unidentified Analyst: Great. Thanks a lot guys.
Operator: Our next question comes from the line of Matt Marietta from Stephens. Your line is now open. Please proceed with your question.
Matt Marietta: Good morning, guys.
Steve Reeves: Hey, Matt.
Matt Marietta: Hey, so staying on the pricing discussion there, do you see a potential trade-off between pricing and continuing to grow sales volumes and capturing market share during the downturn or what is the strategy in that potential trade-off?
John Chisholm: Yes. As you might imagine, we are not going to divorce the overall strategy of our pricing in large part, because over 55% of our revenue is put through distributive business model, where over 90% of the chemistry is sold through the distributors of folks like Schlumberger, Halliburton and Baker and the other pumping companies. I think as a reference point, based on the improvement in the operating income, folks could see the fourth quarter that there was not pricing derogation to be able to accomplish those validations, but I think the words that we want to leave out there for the folks on this call is that we look at pricing on a case-by-case basis based on what the opportunity may be of the level of activity that a particular client can provide not only to us, but actually in conjunction with the pumping companies. It's a collaborative effort with them as well, I think, I would have to say that we are encouraged by their willingness to be embracive of pricing opportunities as they present themselves, but we are not trying to be [ph] here. We are just not going to reveal the exact nature of the pricing strategy in this period of time.
Matt Marietta: Understandable, and that is actually good segue into my follow up here. A question on the expanding customer base in both, the validations and in commercial adopters of the CNF technology, any specifics you can offer on these customers? Are there any new basins, regions, geology that they are operating in? Anything kind of the out-of-the-box that they are working on or any comments you can maybe offer and the size of these have scaled their scale their operations?
John Chisholm: Yes. We will give you a little bit of further kind context on that. We have mentioned 234 unique clients that used CNF over the last two-and-a-half years and that is out of a set of about 714 E&P companies they have provided data into FracFocus, so that that represents about 30% of the companies that have drilled and completed wells in United States have actually used complex nano-Fluid. The number of the wells is about 10%, so you can draw the conclusion that the largest operators, but with the exception of one or two, have still not embraced the process of complex nano-Fluid, which is fully expected. No one should be concerned about that statement whether it is industry or whether it is the medical industry have trying break into large hospitals, many times the larger companies take a longer period of time to break in with any type of new disruptive change in thinking. Most of these clients, and as we mentioned in the third quarter earnings call, when we said more pumping companies are pumping it and more clients are using it was true then and it is true now. Most of these companies, we would say are just below the folks that drill 500 wells or 600 wells a year that are in this validation program and ongoing. Although in the first quarter, there will be two specific validations with major operators that have never availed themselves to CNF before as a direct result of FracMax. A question that may be on your mind, Matt, and others is, out of that last validation repeating only two or three folks stopped and that was because of their balance sheet. The largest percentage of these folks had good balance sheets that are continuing on with maybe less activity, but certainly they are it to continue on using CNF with the activity they have. Did that answered for you?
Matt Marietta: Yes. It did. That is very helpful color and pretty exciting to hear, but any basins or regions or geology that are new in these validations?
John Chisholm: No. I would say overall, no, because now, well, I will that back. We, post-CNF, for the first time in the dynamite in Bakersfield, Californian and it was successful. We also pumped CNF to my understanding for the first time in the Tuscaloosa Marine Shale. It was successful and that particular operator has now delayed any of their going forward program, but it was very successful. Those were two areas that were new and we will build off from there when the activity allows them to come back.
Operator: Our next question comes from the line of Mark Brown from Global Hunter Securities. Your line is now open. Please proceed with your question.
Mark Brown: Thank you. Good morning, guys.
John Chisholm: Hi, Mark.
Mark Brown: I wanted to ask on the International Artificial Lift's acquisition. Obviously, a lot of the larger lift companies have invested a significant amount of capital over last few years in Artificial Lift. How is this differentiated from what some of the larger competitors are doing? Is this a better technology or they are focusing on a different kind of solution?
John Chisholm: Yes. David McMahon, who heads up our Production Technologies take that in just a moment, but I think for the folks listening in the call and we have had a chance to visit with you. Our mission in the whole production technologies is to look at technologies that there are maybe below the radar of the larger lift of players that, when you combined it into Flotek has a chance to meaningfully add to our portfolio and this is a perfect example of that that we believe we can build off of, but David will specifically answer your question as best he can.
David McMahon: Thanks, John. Hydraulic pumping unit, Larry has designed is very similar to world's a lot of other large companies that have implemented and they have done the same thing to acquisitions, but some entrepreneurial designs in the field, but when we look at Larry's design, it look similar to when you look at the control system and where he has patent on it or how he operates the hydraulic pumps, he does it look fewer parts and he can make it more efficient and also we will talk about the future how he can synchronize his pumping units into dual wells and that is where he has some patented technology, so that make it very unique. One of the main interests we had in this company is because of the way he designs the hydraulic pumping the control part of the pump jack.
John Chisholm: Does that help you, Mark?
Mark Brown: Yes. Definitely, that is very helpful. I will just change gears and I just wanted to ask about the Halliburton and Baker Hughes acquisition announcement. Has the announcement alone had any effect on your business yet? Obviously, Halliburton is one of your largest customers and Baker Hughes is another one of your customers and what potential implications would it have should that acquisition close?
John Chisholm: Okay. Good question. Up to this point, we would say there has been no effect. Pricing conversations are separately held with both of them. As you would expect it is business as usual from our standpoint. It is product development as usual with both of them separately as you would expect. My personal view is that some of the smaller emerging pumping companies have a chance to benefit typically when these acquisitions all come together. Those other companies have a chance to pick up a little bit. Time will tell, but as of right now, we have seen no change in the business.
Mark Brown: Okay. Good. Just my final question on the Bakken recompletion work that you are experimenting with, maybe you could just give a status. In terms of timing, I think you mentioned on the last call that this could be very large market for you. What kind of timing do you think we would start to expect to see some meaningful revenues from that and would that be accelerated given the low oil price environment?
John Chisholm: Yes. Good series of questions there, specifically regarding the Bakken. The operator that we are involved with on the recompletion there, due to a mechanical issue out of our control downhole and also weather, although we are involved on one well out of three, we delayed further effort on that until later in the spring time, but I think that the whole recompletion approach we are involved with several recompletion efforts in different parts of the U.S. One of the reasons for that, and obviously it has got the interest of big integrated companies as well, the service companies, is that money is pulled out of the operating budget as opposed to capital and folks are recognizing that maybe the first go round had they had a chance to do things a little bit differently, they might have, so I think stay tuned not only from us, but I would expect in future earning calls from other service companies, they will start talking more and more about this recompletion opportunities. It is target-rich, there is a lot of wells out there that could benefit from small recompletions of the larger ones. Like I say, we are working on several different initiatives in different parts of the U.S.
Mark Brown: All right, well, I will stay tune for that and I will turn it back. Thank you.
John Chisholm: Thank you, Mark.
Operator: Mr. Chisholm, there are no further question at this time. I will now to turn the call back to you.
Steve Reeves: Okay. Thank you. Before we go, a quick reminder of our Investor Day coming up in Florida on Monday, February 2nd. Do not worry for those of you not wanting to miss the Super Bowl we will host a watch party Sunday night. On Tuesday, February 3rd, sorry if I offended any Seattle fans there, on Tuesday, February 3rd we will be the IPAA Florida Investor Symposium. Then on February 19th, we are presenting at the Intercom Conference in San Francisco, so maybe we will have a chance to see some of you on the road. For more information on any of these events please e-mail ir@flotekind.com. We appreciate your interest and are pleased you join us. Have a great Wednesday.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.